Operator: Welcome to the eBay First Quarter 2016 Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer section and instructions will be given at that time. [Operator Instructions] I would now like to hand the conference over to Selim Freiha, Vice President of Investor Relations. Please go ahead.
Selim Freiha: Good afternoon. Thank you for joining us and welcome to eBay's earnings release conference call for the first quarter of 2016. Joining me today on the call are Devin Wenig, our President and Chief Executive Officer; and Scott Schenkel, our Chief Financial Officer. We are providing a slide presentation to accompany both Devin's and Scott's commentary during the call. All revenue and GMV growth rates mentioned in Devin and Scott's prepared remarks represent FX-neutral year-over-year comparisons unless they clarify otherwise. This conference call is also being broadcast on the Internet and both the presentation and call are available through the Investor Relations section of the eBay website at investors.ebayinc.com. You can visit our investor relations website for the latest company news and updates. In addition, an archive of this webcast will be accessible for 90 days through the same link. Before begin I'd like to remind you that during the course of this conference call we will discuss some non-GAAP measures related to our performance. You can find the reconciliation of these measures to the nearest comparable GAAP measures in the slide presentation accompanying this conference call. In addition, management will make forward-looking statements that are based on our current expectations, forecasts and assumptions, and involve risks and uncertainties. These statements include, but are not limited to, statements regarding the future performance of EBay, Inc. and its consolidated subsidiaries including the expected financial results for the second quarter and full year 2016 and the future growth in our business. Our actual results may differ materially from those discussed in this call for a variety of reasons. You can find more information about risks and uncertainties and other factors that could affect our operating results in our most recent annual report on Form 10-K and subsequent quarterly reports on Form 10-Q, copies of which may be contained by visiting the company's Investor Relations website at investors.ebayinc.com or the SEC's website at www.SEC.gov. You should not rely on any forward-looking statements. All information in this presentation is as of April 26, 2016, and we do not intend and undertake no duty to update this information. With that, let me turn the call over to Devin.
Devin Wenig: Thanks, Selim, and good afternoon, everyone. In Q1 we delivered our third quarter in a row of solid results. Our business continues to consistently grow while we make progress against our key strategic objectives. Overall total GMV was up 5% for the quarter, while revenue was up 6%. We [indiscernible] by 4% year-over-year adding six million buyers for our platforms over the past year. GMV on our Marketplace platform grew 4% year-over-year and StubHub's and classified's both had strong performances, growing revenue at 34% and 17%, respectively. Finally, we continued to be good capital stewards, repurchasing $1 billion worth of our stock at attractive prices and acquiring new technology and talent to bolster our Motors vertical. Repositioning our business for long-term success is a multiyear journey and my focus is to drive the best choice, the most relevance and a powerful selling platform while delivering growth and opportunistically returning capital to shareholders. Three quarters into our new strategy and one quarter into 2016 we are making progress on executing our plan. First, our effort to drive best choice is about providing the greatest selection of inventory for our consumers. This encompasses new everyday items, to rare and unique goods with incredible deals you can only find on eBay. We've aligned our regional organizations more closely against our key verticals, which in turn enables them to think and act more like merchants. In Q1 we continued to increase the inventory available on our platform with over $900 million live listings available at any time. We're also working to bring even more unique and differentiated inventory by acquiring new small business sellers and brands. In Q1 we announced integration partnerships with big commerce and inkFrog, enabling sellers to more easily list their inventory directly on eBay and access our enormous global buyer base. We also launched brands like Vince Camuto and Samsonite on our U.S. platform and I'm excited to announce we just signed a partnership with Adidas to open showrooms on eBay across our key European markets later this year. In addition to these efforts, you can expect several exciting new category launches soon. Next, having the most relevance means a shopping experience that is simple, data-driven and personalized. We intend to differentiated eBay shopping experience that enables buyers to find, compare and purchase items they need and want and to clearly understand the unique value that eBay brings. One of the key foundational changes we're making to our Marketplace platform to drive the most relevance is to shift to be more product-based. This initiative, which we call structured data, is how we're organizing our vast inventory and beginning to better aggregate insight into supply and demand. This is ultimately the foundation on which we'll build better user experiences, and improve discoverability on and off eBay. In Q1 we rolled out the second phase of our mandate for sellers to provide product data when selling on our platform going live in France, Italy and Spain for the first time while also increasing coverage to eight more categories. This brings our mandate coverage to find us the percentage of addressable live listings where a product identifier is required to approximately 60%. We've also continued to make progress in our data processing efforts. However, that effort does tend to trail the expansion of the mandate by a quarter or two. In Q1 we added 16 million unique products to our catalog in addition to 1.6 million new user product reviews. Now while most of our early efforts with this initiative have focused primarily on our sellers and our inventory, enabling improved buyer experiences is what will ultimately drive value in our ecosystem. It also takes the longest to get right. But we're making progress in some early use cases that give us confidence that we're on the right track. Browsing on eBay is one example of where we started to change our shopping experience in ways that we have not previously been able to. We recently launched an entirely new browse experience which takes advantage of our structured data catalog, enabling us to instantly surface products with great savings, best-selling items and more. In this experience consumers can easily navigate to shop by brand or see our best deals. This is a great example of how eBay is enabling people to find their version of perfect. The right product at a great price, one click away. Search on eBay is also starting to benefit from our efforts in this area. We recently launched the ability for users to search on eBay using a product identifier directly in the search bar, quickly returning relevant items. Finally, we're making progress on building new product and search pages which are starting to drive healthy SEO traffic from search engines. While SEO traffic from non-structured data pages continues to decline, we've been able to offset much of that decline by shifting traffic to these new pages which now represent 10% of total SEO traffic with higher overall conversion rates. Mobile's another key area of focus for us. Our Mobile team has been hard at work on a new mobile release which is currently in testing. We'll roll this out more broadly to consumers soon and we'll rapidly iterate that to get our Mobile experience back on a strong track. Looking forward, you will see us adopt a more consistent cadence of iteration on Mobile throughout the course of 2016. Having the most relevance also means ensuring we're present where buyers are spending time online. As part of this, we continue to build upon our effort to diversify our traffic and leverage social channels more heavily. We rely became the first brand to test an audience match campaign on Snapchat and we've seen great engagement thus far amongst Snapchat's large active community. We've just announced the pilot integration that enable eBay users to receive activity notifications through Facebook Messenger. Finally, the third main area of focus for us this year is to deliver the most powerful selling platform, enabling a simple selling experience for our business and consumer sellers. In Q1 we rolled out the new seller standards that were announced last fall and we recently announced our spring seller update with a significant investment into our anchor store benefits and planned improvements later this year to our suite of APIs and the availability of eBay-branded shipping supplies. Over 25,000 sellers are now using our new seller hub data to manage their businesses, providing them with the tools and data needed to manage their selling activities in one convenient place. We'll be rolling solar hub out to all of our sellers this summer. We also continue to scale our eBay valet service to enable consumer sellers with a simple yet powerful way to approach selling on eBay. And we expanded our partnership with Ship in Q1, further simplifying the selling experience on eBay by enabling your sold items to be picked up at your home and packed and shipped for you. Elsewhere in our business, StubHub is enjoying strong growth while driving innovative user experiences. StubHub continues to benefit from product experience changes we made in Q3 last year in addition to having a strong concert and sports landscape in Q1. We also made several enhancements to the StubHub user experience in the quarter, including a new recommendation engine which enables users to quickly determine the best value for their tickets. And we recently launched a test of virtual reality technology which enables fans to get an immersive view from available seats. Our Classified platform saw accelerating growth primarily driven by strength across our portfolio in Germany and with Gumtree in the U.K. In Germany the acquisition last year of the leading European Motors enthusiast community, Motor Talk, has enabled us to further enhance our market-leading presence in the Motors vertical. In the U.K. we launched a complete redesign of the Gumtree experience in Q1. In summary, we are making progress on our strategy and on the financial framework we laid out in January. The product experience flywheel is clicking into gear and over the next second quarters we expect to make significant progress on launching new user experiences. I look forward to updating you along the way as we continue to reposition eBay's business for long-term growth and success. With that, let me turn it over to Scott to provide more details on our Q1 results.
Scott Schenkel: Thanks, Devin. During my discussion I'll reference our earnings presentation beginning on Slide 10. As Devin summarized, our focus is to drive the best choice, the most relevance and a powerful selling platform while delivering on our financial commitments and positioning eBay for long-term success. When I reflect on the last nine months of executing our new strategy, I feel good about the progress we are making and the stability we are seeing in the business. At the same time, it is important to keep in mind our progress. Due to the scale of our global Marketplace it will take time for the green shoots we are seeing to start materially impacting the business. While we execute our plan, we will continue to deliver what we promised. In Q1, we generated $2.1 billion of total revenue, $0.47 of non-GAAP EPS, $483 million in free cash flow, and we repurchased $1 billion of our stock. Let's start at the top of the funnel with Q1 active buyers on Slide 11. We added over 800,000 active buyers in Q1. Trailing – growing trailing 12-month active buyers by 4%. As we've discussed, we look at active buyers in three cohorts: retained, reactivated and new. Growth in retained and reactivated buyers remains stable as we utilize marketing programs and promotions to drive engagement and retention. However, SCO headwinds continue impacting new buyer acquisition, driving one point of deceleration versus Q4. On slide 12. We enabled $20.5 billion of GMV in Q1, growing 5% versus last year. By geography the U.S. generated $8.5 billion of GMV, up 3%. While international delivered $12 billion of GMV, up 6%. Moving to revenue. We delivered net revenues of $2.1 billion, up 6% versus last year and accelerating one point versus Q4. We generated $1.7 billion of transaction revenue, up 3%, and $460 million of marketing services revenue, up 19%. Transitioning to our Marketplace's platform on Slide 14, Q1 GMV grew 4% year-over-year in line with the prior quarter. While we face the ongoing challenges of SCO, the continued impact of mobile headwinds and the pressure on our sea to sea business, we are encouraged by delivering stable quarter-over-quarter growth. Total revenue for Marketplace's platform grew 3%, accelerating two points versus Q4. Transaction revenue grew 1%, up one point sequentially driven by international acceleration. In the U.S. we invested more heavily in contra-revenue this quarter as we continuously experiment with a wide variety of promotions to see what is most effective in driving customer lifetime value. However, our global transaction take rate was flat versus Q4 as the increase in U.S. contra-revenue was offset by a decrease internationally. Marketing services revenue grew 19%, accelerating 10 points over Q4. U.S. advertising contributed to the strong quarter as a result of growing our Mobile ad placements and improving yields in problematic display ads. In addition, the PayPal operating agreement is included in our MS&O revenue stream, adding 10 points of growth year-over-year. Moving to slide 15. Q1 was another standout quarter for StubHub. We delivered GMV growth of 29% and we grew revenue by 34%. We had a strong quarter in Sports and Concerts in addition to launching a number of product innovations like ticket recommendations, which helped fans find the best value for the tickets they want. In addition, we continue to see the impact of the product improvements launched last August, including pricing display changes and our updated mobile app. While we're very excited about the direction StubHub is headed, it's important to keep in mind, we will start lapping the favorable comps from some of those changes in Q3. In Q1 Classifieds delivered a strong quarter of growth, up 17% year-over-year, accelerating three points versus Q4. The strong performance in Q1 was driven by our sites in developed markets such as eBay [indiscernible] and mobile.de in Germany, and Gumtree in the U.K. In addition, we launched in app chat for our mobile experience allowing buyers and sellers to message each other and facilitate even easier, faster buying experience. We also further extended our vertical experience in Cargigi Canada with Motors and housing. Finally, we continue to deepen the connection between our Marketplace in Classified platforms. We are piloting a number of different programs regionally, including exposing listings from eBay on our [indiscernible] properties and providing a tool for sea to sea sellers to identify which platform can help them realize the best price. Turning to slide 17 and major cost drivers. Costs of revenue increased 240 basis points year-over-year driven primarily by the addition of PayPal processing costs and increased investment in site availability. Q1 sales and marketing expense was relatively flat year-over-year, while product development increased 50 basis points driven by the impact of the stronger U.S. dollar. G&A was flat year-over-year as standup costs were offset by a one-time insurance recovery. Pulling all of that together, we delivered a Q1 operating margin of 33.4%, down 220 basis points versus last year. Operating leverage in transaction losses in the insurance recovery were more than offset by the increase in costs of revenue, as well as the impact of foreign exchange in standup costs which just cost us roughly 140 and 100 basis points, respectively. I'd like to take a moment to update you on our hedging strategy. On our Q2 earnings call last July I explained that our revenue was fully exposed to movements in currency and that for 2015 we had implemented hedging strategies to economically protect our full-year net income, some of which left us exposed to potential volatility in our quarterly results. In 2016 our revenue remains fully exposed to movements in currency. We have implemented hedging strategies that allow us to limit the potential quarterly volatility and minimize the effects of FX in our current year earnings. Based on how those strategies are accounted for, we will see the impact of hedging costs, hedging gains and losses in operating margin and OIE while net income is economically protected. Moving to slide 18. In Q1 we delivered $0.47 in non-GAAP EPS, down $0.01 versus Q1 2015 as revenue growth, the impact of share repurchases and cost control were more than offset by the impact of a stronger U.S. dollar in standup costs. The impact of the stronger U.S. dollar cost us roughly $0.03 of EPS and standup cost an additional $0.01. On slide 19. In Q1 we generated free cash flow of $483 million, up 19% largely due to higher cash earnings driven by an increase in revenue. And lapping separation related costs incurred last year. CapEx was 7% of revenue in Q1 and our full year CapEx guidance remains 7% to 9%. Moving to slide 20. We ended the quarter with cash, cash equivalents and non-equity investments of $10.3 billion, including $3.4 billion in the U.S. As a reminder, our capital allocation policy is designed to manage the capital structure that optimizes our financial flexibility, access the debt and our cost of capital to drive long-term shareholder value. After retiring $850 million of debt last year, we accessed the debt markets in Q1, raising $2.25 billion dollars in debt. We plan to use the debt for general corporate purposes as well as share repurchases and M&A activity. We remain a strong BBB credit rated company with gross debt to EBITDA ratio below three times, and we believe we are well capitalized with the means to deliver our current plans. We will continue to be an inquisitive company, disciplined in our approach, utilizing M&A for geographical expansion, and tech and talent acquisition. Over the last nine months we made a few small acquisitions that fall into these categories. The most recent being the acquisition of Cargigi that we announced in March. A great addition to our eBay Motors platform. In Q1 we repurchased $42.3 million shares at an average price of $23.67 per share amounting to $1 billion in repurchases. We ended the quarter with $800 million of share repurchased authorization remaining. We remain on track with our full year plans for share repurchases as I laid out in our last Earnings Call. Moving to guidance on slide 21. For Q2 we are projecting revenue between $2.14 billion and $2.19 billion using today's spot rates, growing 4% to 6% year-over-year. We expect non-GAAP EPS of $0.40 to $0.42 per share, representing negative 5 to 0% growth year-over-year. EPS growth is impacted by the stronger U.S. dollar, which in Q2 will cost us $0.02 of EPS, and standup costs which cost an additional $0.01. For the full year, we are raising the low end of revenue guidance to 3%, bringing our new guidance range to 3% to 5% or $8.6 billion to $8.8 billion as reported. While the U.S. dollar has weakened since we provided guidance last quarter, we have not assumed the entire benefit in our full year guidance. A relatively small movement in rates can have a significant impact on our second half revenue. And given recent volatility in catalyst that could generate more movement, we felt the best approach is not to count on the upside at this time. If recent spot rates do hold for the rest of the year, we estimate that all else equal, there will be roughly $80 million of upside to our second a half and thus full year revenue. All other full year guidance remains the same. In closing, we are executing the plans we have discussed for our marketplace platform. It will take time but we are encouraged by some of the green shoots we are experience – we are beginning to see. StubHub is bringing new differentiated experiences to fans, Classifieds continues to grow, launching new experiences and testing innovative ways to connect buyers and sellers, and there is more innovation coming. Financially, Q1 was a solid start to 2016 as we delivered on our commitments with revenue and EPS above guidance. We're on target with our full year plans to return capital to shareholders and we are being disciplined in the use of capital and debt while architecting for the long-term. And we have firmed up our full year outlook. Underpinning all of these efforts is our focus to drive the best choice, the most relevance and a powerful selling platform as we position eBay for long-term success. And now we'd be happy to answer your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Carlos Kirjner-Neto from Alliance Bernstein.
Carlos Kirjner-Neto: Hi. Thank you. I have two questions. Devin, you continue to sound optimistic about the progress of the structure B initiative. But neither GMV nor Userglove have shown any signs of movement in the results you reported. When should we see a significantly different and presumably better eBay experience? And will that drive GMV and user acceleration? Is this going be a continuous process where we see a jump? Or should we see gradual improvement in the results? And secondly, can you tell us what was the U.S. GMV growth ex StubHub? And did you see any positive impact from the weakening of the U.S. dollar in March on the Marketplace GMV growth? Thank you.
Devin Wenig: Carlos, thanks for the question. With regard to the structure data, let me just take the opportunity to remind you what we're doing. There are three phases to structured data, there's collecting product identifiers, there processing those identifiers, and then there's building user experiences. With regard to collecting product data we've now expanded that mandate to 60% of our listings with regard to what we processed that has lagged the 60% because it takes a bit longer, and our mandate only expanded in the middle of the quarter, so that's at 38%. And we're beginning to build the product experiences that ultimately are what matter to consumers and sellers and that will drive better business performance. We measure everything rigorously, so I gave a couple of examples on this call of the experiences that we are already building. One example is we're beginning to move our non-structured data enabled SCO pages to structured data enabled pages. Those pages are now stable to slightly growing at better conversion rates than the 90% of pages that we haven't moved yet, which have been declining for the better part of 18 months. In addition, if you look at our browse pass, these are entirely new experience which we're really excited about. Not just because it makes for a simpler eBay experience, but because I think we're beginning to show what's unique about eBay. When we talk about unique inventory and great deals, historically they've been hard to find. And I think what structured data enables us to do is to really surface those in a way that hits consumers right between the eyes so they can see why shop eBay. Just back to your question more directly. I'll say what I've always said which is this is a long-term process. There isn't a moment where it's all fix and everything jumps up. In fact I think I've consistently said that you probably wouldn't even be able to really see these experiences until towards the end of this year. So this is a slow process which will take time, but we are definitely seeing progress on that journey. And I'd say it's going about exactly the way we've explained for the better part of six months.
Scott Schenkel: Yeah, and Carlos on your question on U.S. GMV. Q1 volume purchased by U.S. buyers grew 5% as we highlighted in the deck in the attached material. That decelerated two points as you can see. One point of that deceleration was from StubHub and the other point of that deceleration was from the underlying buyer dynamics. And I would characterize them as similar to the deceleration in active buyers. Then on your other question around the foreign exchange impact. We have seen some modest improvement particularly in the last month of the quarter around CBT trade corridors. There does tend to be a slight lag between currency movements and trade flows.
Carlos Kirjner-Neto: Thank you.
Operator: Thank you. And our next question comes from the line of Mark May from Citi.
Mark May: Hi. Thank you. Quick question. U.S. take-rate decline year-on-year. Can you walk us through why take-rates are declining here and what your outlook is for U.S. take-rates going forward? Then secondly, sorry if you addressed this already, but classifieds growth accelerated meaningfully in the quarter. Can you just give us a little backdrop on what drove that? Thanks.
Scott Schenkel: Yeah, Mark, quick elevate up here on the revenue dynamics. So as we laid out, but I know everyone's kind of processing this real time, total revenue grew 6% up a point quarter-on-quarter. The Marketplaces revenue grew 3% up two points quarter-on-quarter. And then StubHub grew 34% which is flat quarter-on-quarter, and Classifieds grew 17% which was three points up quarter-on-quarter. Specific to the U.S., I would characterize it this way. There's a one point incremental gap in the U.S. Marketplace transaction revenue versus GMV growth quarter-over-quarter. And so that gap expanded as we ran a number of different promotions in Q1 to test the efficacy of our marketing spend, some of which shows up in contra. And so modestly more contra quarter-over-quarter. With regards to Classifieds we kind of called it out in the prepared commentary. But our primary market in our developed countries such as Germany with [indiscernible], Mobile as well in Germany, as well as Gumtree in the U.K. really continue to show strong or stronger growth quarter-over-quarter.
Mark May: Thank you.
Scott Schenkel: Yeah.
Operator: Thank you, and our next question comes from the line of Heath Terry from Goldman Sachs.
Heath Terry: Great. Thanks. Devin, you guys have talked a little bit about some things that are going on in the competitive environment. We've seen a lot of startup activity particularly around the Fashion category and the local Classifieds market. I'm curious if you're seeing any changes in the competitive behaviors in those segments in a way that's either beneficial or not for eBay. And to the extent that the opportunities or opportunities do become available, how acquisitive do you feel like eBay is – or that you're likely to be in those areas?
Devin Wenig: Yeah, Heath, thank you for the question. I guess I would – if I step back and lock at the macro landscape I would say we have a growing online sales environment offset by a fiercely competitive global landscape. It's always been that. I don't think that the competitive landscape has materially changed, at least in the last six months, but there are some shifts inside of that. And there's no doubt that there's certain categories like Fashion that are getting more competitive. I'll just remind you and everyone that we're going to compete, but we are going to compete by being different. We want a sharply different eBay that isn't like anybody else and that doesn't mean that competition doesn't impact us. But this is not a zero sum game in a growing environment and my view of how we win is to be distinct and sharply different, not like anybody else. With regard directly to your question around acquisitions. We've said it for a couple of quarters. We will be acquisitive. We have phenomenal financial flexibility and strong free cash flow dynamics. We are disciplined in the way we acquire. We don't swing wildly at things, but there is no doubt that in this environment there are opportunities and when we see those opportunities we'll capitalize on them.
Heath Terry: Great. Thanks, Devin.
Operator: Thank you, and our next question comes from the line of Mark Mahaney from RBC Capital Markets.
Mark Mahaney: Thanks. Two questions. A product one and a marketing one. Devin, I think you talked about the mobile release that would be upcoming. Could you talk a little bit some of the features in that or maybe what they will address that may have been suboptimal in the eBay mobile experience? Then you talked about some of the SEO headwinds. I don't want to get too literal about it, but are you referring to the removal of some of the right rail ads on Google, the implementation of the fourth desktop ad? Is there something in particular you're referring to in terms of SEO changes, or do you find that those are just constant things that you're dealing with. There's no particularly greater challenge, SEO challenge, than what you've had in the past. Just constant challenge. Thanks a lot.
Devin Wenig: Yeah, thanks for both questions. Let me start with Mobile. Let me remind you that we did something very substantial which was for our long-term success last September and that was to re-platform our Mobile experience so that we didn't have multiple groups developing for multiple mobile operating systems. We're now on a common platform where we can speed up and scale. With that said, we did disrupt our ecosystem a bit as we've signaled on the last couple of quarters and we're pretty clear about why that happened. It was a couple of different issues. There were a couple of UI changes. There was a bit of speed decline in the app itself. And we've been iterating on that and we've been in testing as I said in my remarks, and you can expect a significant new app release very soon. With that said, this isn't going get solved – it's not a one-shot deal. The fact that we're on that common platform means literally quickly, but I'd say we have growing confidence that we'll get back to a really strong track on Mobile soon. With regard to the second part of your question, it actually has nothing do with Google's right rail changes. We were an early adopter of PLAs so their changes on the right rail don't impact us at all. The SEO challenges really stem all the way back to May of 2014 when if you remember, without a structured data underpinning our pages that we expose to search engines, not just Google, but all search engines, were not really attached to our marketplace. There was a significant penalty that really has continued for the better part of 18 months. In many ways that was the impetus to move to re-platforming the business so that the new pages that we put on which now represent 10% of traffic are on a much more stable foundation. So for us, SEO is – I mean I don't think it's just the day in and day out challenges. It's the major challenge which we're addressing head on with the long re-platforming around structured data, and it will take time, but we are seeing progress there.
Mark Mahaney: Thank you, Devin.
Operator: Thank you and our next question comes from the line of Eric Sheridan from UBS.
Eric Sheridan: Thanks for taking the questions. One topic we get asked a lot about by investors, I'd love to get your opinion here on the call. Would be about the shift between commoditized and non-commoditized e-commerce. A couple of nuances there. What are the headwinds to the business from de-emphasizing commoditized e-commerce as you referenced it, as you move through 2016? And how might that traject towards better growth in 2017, 2018 when you have more leverage to sort of non-commoditized products and sub-sectors that you want long-term leverage to? And maybe a second question, more of a housekeeping matter, but we haven't been able to find the EPS guide for the full year. I mean the slides or the press release just curious if we were missing it somewhere? Thanks so much.
Devin Wenig: I'll take the first part. Scott can take the second part. With regard to – look we are a very large Marketplace with last year $85 billion of sales, so we sell a lot of everything. Let's be clear. But ultimately our success will not be the ninth party reselling in electronics device at razor thin margins. There will be plenty of people doing that. What's unique about eBay is the spectrum of value. The choices that you get. It's not just that new iPhone, it's the used iPhone. It's a manufactured reverb, it's 11 versions in between that frankly, only sit in our Marketplace. Then as you move down the tail, you get things that aren't just version unique. You get things that are completely unique like collectibles and rare items, and that's an important part of who we are. So, obviously we're going to sell a lot of different things, and we will sell commoditized items. But the reality to the question before about competition is not all competition is the same. Where it is commoditized items, obviously that's where competition is the greatest. We still sell a lot of it, but that's where the competitive environment impacts us the most. In many ways, that's why we want to move to being sharply different, and moving to being distinct, and moving to doing the things that only we can do. That's our strategy. So there's no doubt that there is a headwind from what I'd call commoditized items that require instant shipping. I don't think that's a lot of things, but that is in our strategy and we're not going to compete by being a logistics company. We're going to compete by giving people the greatest choice, the greatest deals and unique value. That's who we are. Scott can answer the EPS question.
Scott Schenkel: Hey, Eric. For EPS, we have a chart in the back for Q2. For the total year I'd refer you to my prepared remarks. And in short it was – we are raising the low end of revenue guidance to 3%, bringing the new guidance range for revenue to $3 to $5, or $8.6 to $8.8 billion. And then I flagged that there would be – I have that second half effectively at January 27 foreign exchange rates. And if you equated that to spot today, that there would be roughly $80 million upside to our second half, and thus full year revenue. But all other full year guidance remains the same.
Eric Sheridan: Great. Thanks for the color.
Operator: Thank you. And our next question comes from the line of Scott Devitt from Stifel.
Scott Devitt: Hey. Thanks. I had two questions. The first one is, how are you thinking about managing the Marketplace business for growth versus profitability from here over the longer term. And then secondly, you've been very clear Devin that structured data improvements results are going to show gradually over time. My question is, do you think that structured data or something else may be able ultimately move the Marketplace growth to levels above the current low single digit GMV growth rate? Or do you think of it more in terms of sustaining the current growth rate of the business? Thanks.
Devin Wenig: Thank you, Scott. Look, we don't wake up in the morning and declare that we're a growth or profitability company. Our job is to grow value for shareholders by growing over time the free cash flow of the business. We want to grow faster. We are not managing to a lower growth rate. What we're doing is making investments that we think are really important for the long term of the business like the re-platforming. The hope obviously is that, when we get that done, we can push the efficient frontier of growth and profitability out. In other words, we can grow faster and maintain reasonable margins. I don't look at it as black and white. I think that where we see good opportunities we should invest in them. That doesn't mean, I think with three to four quarters now under our belt people understand we're not simply going collapse the financial architecture and swing wildly at things and grow at all costs. But I also want to be clear that, I'll invest in opportunities where we see them. We're running the company not for a quarter or a year. We're running the company to build the next 20 years of eBay. So that means being disciplined but also investing in opportunities that expand what we do and grow the business. With regard to the structured data part of your question. Yeah, I appreciate you saying that, because we have been very consistent saying it will take time and it will be gradual. I think today, if you look at our prepared remarks, I just wanted to broaden that lens a little bit. Structured data gets a lot of press but it's not the only thing we're doing. We're actually making a substantial number of changes to the company from the way we're organized to the way we acquire inventory, to the way we re-platform, to the way we expose that inventory in the product. I think you'll see parts of the eBay shopping experience change more in the next several months than they have, arguably, in years. So there's a lot into what we're doing and obviously for us we hope that if we do that, fast forward a couple years from now. It's different business and it's a business that's growing faster. That's our hope.
Scott Devitt: Thank you.
Operator: Thank you. And our next question comes from the line of Justin Post from Merrill Lynch.
Justin Post: Great. I had a few questions. Devin, you mentioned a new side experience rolling out over the next six months. Can you give us some specifics on how that will look? Secondly, maybe talk a little bit about the marketing spend to support that. Is that part of what's going on in 2Q? And then lastly, your auction looks like a headwind although I manage some of that is just shifting to new format. But do you see any end in sight where auctions could be stable at some point? And maybe just tell us how much of GMV that is right now. Thank you.
Devin Wenig: Oh, sorry. Sure. With regard to the site experience. There's a couple of examples that we've included in the attached slides. I think that, to step back from the slides for a second, there are – there is amazing inventory and amazing deals on eBay, but we've been really honest saying, they're not always easy to find. We've had one tool in our tool box and that's been search. If it doesn't show up in the first eight listings in search of ten times there are incredible things that consumers want, but they can't find it. To be honest, that's gotten worse with Mobile because consumers' patience on three-and-a-half inches of real estate is a lot less than it is on a desktop. The whole effort here is to improve discoverability. If you look at some of these new browse pages we're building, it's really simple. We will show you the best deals. We'll show you the best brand. We'll show you the best price. We want to make things really bulletproof and very, very simple particularly in a world that's going all mobile. So for me, that's what ultimate – there's a lot under the covers about how we're re-platforming, but it's about a great, simple, elegant consumer experience that exposes the best of what we're about which is our vast inventory. With regard to the marketing spend. We are experimenting more as I said last quarter, up the funnel. Right now it's experimentation. You'll see a little on television. You'll see us in other areas this quarter. But to be clear, we're not materially increasing our marketing spend at this point. We are repurposing spend that was down the funnel to up the funnel. What we're doing is, we're testing. You'll see a lot of medium mix testing. We're trying to figure out the efficient frontier of what we can do. And I don't want to do any significant brand work until the product has moved on. Because what I don't want to do is spend money a lot of money to bring people into a user experience that's changing. As the user experience evolves and as we get more comfortable that where – it will never be, we're never done, but as we get closer to where we think we're going be, we'll consider leaning into that spend and doing more. But my view right now is that, that would come out of – we spend a lot on marketing as a business. There's plenty of allocated spend that we can reallocate to go at that. If we think there's opportunity to do more vis-a-vis the other question we'll do it. With regard to auctions. Scott, do you want to take that question.
Scott Schenkel: Yeah, I think auctions has been on a multiyear deceleration. To your question, is there an end in sight? I think there is probably an inflection point where we hit the level of GMV that quite frankly is best suited to an auction format and that's largely determined by our seller base and to some extent our buyer base. And so, where that ends. I think as we get down to elements of price discovery that aren't facilitated by either online research or a catalog, I think we'll start to see that tail off, decelerate into something a bit more stable, or at least that's what we believe.
Justin Post: And any thoughts on percent of auction at this point that you can share?
Scott Schenkel: I think it would be a little bit premature. I think it's – since it's more a derivation of the inventory sold on the site, whether they're buyers and sellers and how they're finding price guidance and/or determining price, is a bit hard to say.
Justin Post: Okay. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Douglas Anmuth from JPMorgan.
Douglas Anmuth: Great. Thanks for taking the question. Two thing. First, I just wanted to follow up on the last one on 2Q and the guidance in particular. I'm just trying to understand if there is something more there in terms of cost pressures. Just thinking about how you guided in terms of revenue and EPS, and particularly your comments on hedging losses and gains and if that's a factor in there. And then just secondly in terms of buy-backs. For the previous two quarters you'd been fairly consistent in the $500 million, $600 million range. You obviously stepped it up here in the first quarter. And I know where you are in your authorization remaining. But how should we think about the levels going forward? Thanks.
Scott Schenkel: Yeah, Doug. Let me take your last question first. We have been in the $500 million to $600 million a quarter. And what we said for 2016 was, we would continue on a pace consistent with that plus offsetting dilution and we have in effect offset the dilution in Q1 in addition to the $500 million to $600 million per quarter. We're not changing our expectations and our guidance for the rest of the year. With regards to Q2 guidance, maybe a few thoughts. Seasonally we do experience a deceleration in EPS from Q1 to Q2. And much like we saw last year, it's really a combination of not only revenue obviously, but our expense profile. And as such the guidance is 40 to 42. A couple of points worth noting. First off, the guidance to your question assumes spot rates as of today. I'm not – you shouldn't read anything into that other than we put spot rates as of today because it's relatively upon us. And within that we've also guided to the 4% to 6% revenue. A couple of things within the cost space. One, we don't have any favorability expected from another insurance favorability in G&A, and so I would expect G&A to pop back up as a percentage of revenue for Q2. And then for the rest of the year that sort of normalizes because we'll be past standup. Then secondly below the line we're going to get an impact from incremental debt that we put on in Q1. And so that's factored into the guidance, as well.
Douglas Anmuth: Great. Thank you.
Scott Schenkel: Yeah.
Operator: Thank you. And our next question comes from the line of Brian Pitz from Jefferies.
Brian Pitz: Thanks for the question. A lot of questions have been answered but a quick one. Maybe just an update on your business in Russia. How important is Russia for eBay longer term? And maybe just making some sense. I think Apple had some kind of negative commentary on the macro and some countries like Brazil or Russia, et cetera. Just any kind of insights there on what they may be seeing or if you're seeing anything similar. Thanks.
Devin Wenig: Yeah, to be honest, since sanctions over a year ago and the collapse of the foreign exchange rate our Russia business has not been at all strong, as you can imagine with an Import business and a collapsed ruble. And I don't see that changing. It's a tiny bit of our business and we did – we are maintaining what we're doing there and the hope that at some point it turns around. The future in Russia for e-commerce should be bright. There's growing wealth. There's scarcity of supply. They're very good dynamics and we've laid the railroad tracks. But if you ask me how our business is today, it's for hope the better part of the year it's been a disaster given the sanctions and the currency devaluation. But it really doesn't show up in our overall results. It's so small. On the macro, what we said overall, it's stable. We did see as we said last quarter a little bit of softness in December. When you look at the quarter at Q1 there isn't really nothing to see here. It was pretty stable. Any softness we saw was remediated and as a portfolio it's kind of steady sideways. It's not inspiring global growth but it's steady global growth. Obviously there's puts and takes in that. We have a global business like Apple does. Brazil has – some Latin American countries have been weak. We're seeing a little bit better macro impact in Europe. It's a mixed effect as it always is. If you'd step back and look at the overall we really haven't seen much change over the last 90 days.
Brian Pitz: Great. Very helpful. Thanks.
Operator: Thank you and our next question comes from the line of Richard Kramer from Arete Research.
Richard Kramer: Thanks very much. A couple questions that I don't think have been touched on. Devin, you talked about the fly wheel kicking into gear in Marketplace with the new experiences. Can you talk us through how this might manifest itself? Should we be expecting this to be reflected in eBay competing more for order frequency, selling higher value items or from a pickup in new or even reactivated buyers? And a couple of other quick questions. Are there some other channels we could look at beyond SEO to revive new buyer growth? And can you give us the percentage of GMV or sold items that came through mobile? Thanks very much.
Devin Wenig: Yeah, there's a lot to that. That's a very good question in multiple parts. Let me take them from the top. With this foundation now going in place, we can pick up the pace on what we build on the foundation. This is still going take a lot of time. I want to go back to the first question I received. I want to make sure that the expectations are set that there's not a moment in time when all of the sudden all of eBay is rebuilt and growth explodes. It doesn't work that way. This is a huge Marketplace. There are – it's an enormous buyer and seller base and we have to proceed with some caution. But I like where we are because the foundation is being laid and now we can iterate in ways we just haven't been able to do before. So you're going to see a new suite of apps soon. You're going to see new browse tabs soon. You're going to see new SEO pages soon. You're going see us start to go on offense and launch a couple of new categories soon. All that's in the guidance. None of that is going to materially move things in the short run but it's evidence that we're moving from more of a defensive platforming to more of an offensive run the business. With regard to your channel discussion, it's a great lead into two quarters ago I've said regardless of our SEO issues and fixing SEO, for the long-term success of this business, we have got to diversify our traffic and user acquisition. EBay has had two major irons in the fire, which is CRM and search outside of its majority which come directly to our apps into our site. But the new user acquisition has been dominated by search and by e-mail, and that has to change. A healthy eBay has gotten multiple competing channels for our marginal investment dollar. And two quarters ago I said that social – we're going to invest in it. It's early. It's not simple to get returns on social. Now fast forward two quarters later and we're getting somewhere on social. We're now in 14 different channels. We're working with all the big social players. I think if you asked them we'd say we're being aggressive and even leading e-commerce efforts on many channels. It's still very small as a comparative. If you add all those 14 channels up it's a tiny fraction of what we get from search but it's growing fast. And we're starting to get some traction in areas like I mentioned today like Snapchat and other channels where we are showing the ability to spend and acquire users in travel. So that's encouraging. Again, it will take time but we're starting to get somewhere. The third part of the question?
Scott Schenkel: Now, Richard, the thing I'd add onto that, that's all right and I would say that at this point, the total eBay mobile volume is 44% and the percent of GMV touched by Mobile is 55%. So this is obviously a larger and larger channel for us.
Richard Kramer: And any ways to get new buyer growth beyond SEO? Will new buyer growth come from social and should you be investing more in [indiscernible]?
Devin Wenig: Sure. New buyers will come from social, they've come from search. They'll come if we do top of the funnel marketing like we're testing now on me in outdoor and other places. The great thing about new buyers is, it opens up an entire world of new marketing levers. But we – there's a theme here. We don't run wild. We'll be disciplined about it. We're not going waste a ton of money. You can waste a lot of money and we won't do that. We will test, we'll learn and we'll start to open the funnel up as the product changes to where we want it to reaccelerate traffic in new user growth.
Richard Kramer: Okay.
Devin Wenig: And look, I think a lot of that also impacts the cohorts that we look at. You mentioned one of them, but retained and reactivated buyers. As we focus marketing not only at the top of the funnel, and at SEO, and at social to bring in new buyers; it's also about improving our funnel of retained and reactivated buyers.
Richard Kramer: Okay. Thank you.
Devin Wenig: Operator, we have time for one more question.
Operator: Thank you. And our final question for today comes from the line of Colin Sebastian from Robert W. Baird.
Unidentified Analyst: Hi, guys. It's actually Ben Hans for Colin. As we go through the back half of the year or maybe even the next three months, are there any specific categories that we could look to, to see the progress being made on structured data? Is there nothing that you'd like to call out there?
Devin Wenig: I – obviously our catalog, the 60% that we have covered are things that you would expect to have a catalog and they tend not be long tail items like an antique teapot or a baseball card. They tend to be electronics, and fashion, and home and garden. They're more mainstream categories that have higher velocity and have some structure to them. But, I don't think – really this is a horizontal re-platforming. It's not really specific to one or more categories. So I point at the horizontal in this case, not in the vertical.
Unidentified Analyst: Got it. Thank you.
Devin Wenig: Thank you, operator. You can go ahead and end the call.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program and you may now disconnect. Everyone, have a good day.